Operator: Ladies and gentlemen thank you for standing by. Welcome to Greif Inc third quarter 2008 results conference call. At this time all participants are in a listen-only mode. Later we will conduct a question and answer session and instructions will be given at that time. (Operator instructions) As a reminder this conference is being recorded today August 28, 2008. I would now like to turn the conference over to our host Ms. Deborah Strohmaier, VP Corporate Communications. Please go ahead, Ma’am.
Deborah Strohmaier: Thank you, David, and hello. As a reminder you may follow this presentation on the web at greif.com in the Investor center under conference call. If you don't already have the earnings release, it is also available on our web site. We are on slide two. The information provided during this morning's call contains forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are on slide two of this presentation and the company's 2007 Form 10-K and in other company SEC filings as well as company earnings news releases. As noted on slide three, this presentation uses certain non-GAAP financial measures including those that exclude special items, such as restructuring charges and timberland disposal. Management believes the non-GAAP measures provide a better indication of operational performance and a more stable platform on which to compare the historical performance of the company than the most nearly equivalent GAAP data. All non-GAAP data are in the presentation are indicated by footnotes. Tables showing the reconciliation between GAAP and non-GAAP measures are available at the end this presentation and in Greif's third quarter 2008 earnings release. I will now turn the call over to the Chairman and CEO, Mike Gasser.
Mike Gasser: Thank you, Deb. Good morning everyone, I appreciate you joining in our conference call today. If you're following this presentation on the web, we are on slide four. In our third quarter we experienced strong sales and earnings growth, and in addition to strong sales growth, our results also benefitted from execution of our geographic diversity and our business system which mitigated the impact of sharp increases in raw materials and other input costs. Slide five summarizes some of our achievements in the quarter. We continue to actively manage our portfolio. The most recent example of this is our acquisition with Steel Drum manufacture in Vietnam which took us into a new geographic market. You may recall that in the first quarter of 2008 we recorded a substantial net gain relating to the divestiture of our business unit in Australia. That transaction was prompted by our customers moving their operations to Southeast Asia from Australia. The integration in Vietnam is going extremely well and we are please to have our new associates on board. It strengthens our footprints in Southeast Asia and also reflects ongoing portfolio management activities. We also aggressively are expanding our activities in the green arena, actively engaging in environmental initiatives that make sense for our business and our shareholders as well as the planet. We are making a strong commitment to sustainability and will identify specific initiatives following the completion of data gathering activities that are underway across our entire portfolio. Also we join the world business counsel and sustainable development to participate in serious discussions with the CEOs of other multinational organizations and will contribute our expertise and resources were appropriate. Our Russian operation celebrates their 15 anniversary this quarter and once again achieves stellar results. They drive in the superior position they have build in the market, serve them well as they set their marks even higher and subsequently reached their goals. As noted in our last quarter’s call we recently completed our strategic plan that takes us to 2012, building on our 2007 to 2009 plan we will continue to strengthen our core businesses, emphasize environmental dealership and carefully consider adjacencies to add to our portfolio. We are please to announce this morning that Delta the blending and filling operation we require has contracted with Cognos for dedicated packaging services after plan in Cincinnati. This is Delta’s first expansion outside their own facilities. Of course, the Greif Business System will remain the careless for our success. Key element of this plan will be discussed in the subscript call in the contents of our 2012 financial goals. Turning to Slide six, we remain on track to achieve our key 2009 financial performance targets, we are place with the progress this far and our confident that we will reach those goals. Exactly vice-president and chief financial officer Don Huml will now provide you with an update on our financial results.
Don Huml: Thank you Mike, good morning everyone. Please go to Slide seven, net sales increased to a record 1, 34 billion representing an 18% increase over the third quarter of last year. Excluding the impact of foreign currency translation this was a 12% Delta, this constant currency increase was about equally split between volume and price. Organic volume growth for the third quarter was above our goal of 5%. Operating profit for four special items increased 25% year-over-year to a $108 million. This increase was led by the strong performance of industrial packaging. Net income for four special items increased 31% to $70 million for the quarter, benefiting from the strong operating performance and the lower effective tax rates. Now on slide eight. This slide once again documents the consistency and positive up-word trajectories of our results. Slide nine, summarizes industrial packaging results. Net sales were up 21% to $852 million, an increase of 14% excluding the impact of foreign currency translation. Higher sales volumes across all regions with particular strength in emerging markets continue to drive the segments organic growth. Operating profit for four special items increased by 37% to $93 million primarily due to improvement in sales volumes and contributions from the Greif business system, these achievements were personally all set by higher cost for steel, energy, transportation and other inputs. The results also demonstrate our ability to protect growth profit dollars during a period of rapidly rising of raw material costs. On slide 10 you will note paper packaging’s net sales were a $178 million compared to a $165 million last year. This was possibly due to higher selling prices including a containerboard increase implemented in the fourth quarter of 2007. We expect to realize a $3 to $6 million pre-tax benefit during the fourth quarter of 2008 from the recent $55 per ton containerboard increase with the remainder being realized in the first quarter of fiscal 2009. Operating profit for four special items decreased by $2 million to $13 million this quarter primarily because of higher input cost including raw materials, energy and transportation. We anticipate that operating profit for paper packaging will improve as the previously mentioned containerboard increase is fully implemented and further savings are realized to the Greif business system. On slide 11 timber net sales were $4 million and the results are in line with expectations. Now to slide 12 capital expenditures for the quarter were $38 million. We now expect our fiscal 2008 CapEx to be approximately a $135 million which includes increased capital to support our growth strategy in the emerging markets. This amount is approximately $15 million above anticipated depreciation and amortization expense for fiscal 2008. We are raising our 2008 guidance for the second consecutive quarter to $4.45 to $4.55 for Class A share. The annual guidance includes $0.35 for Class A share impact for the first quarter net gain related to divestiture of businesses. This increase is primarily driven by improved profitability for industrial packaging and partial realization of a $55 per ton container board price increase in the fourth quarter of this year. That concludes my formal remarks you should now go to Slide 13. Mike and I will be please to answer your questions.
Operator: (Operator instructions) And our first question comes from the line of Jim Lucas with Janney Montgomery Scott. Please go ahead sir.
Jim Lucas – Janney Montgomery Scott: Thanks, good morning guys.
Mike Gasser: Hi Jim, good morning.
Jim Lucas – Janney Montgomery Scott: First question, your probably anticipating this one Mike, I thought it would come up at some point on the call, but from a geographic stand point can you talk about just trend wise what you are seeing out there both by geographies and markets and in particular the wonderful headlines that seem to keep coming out everyday about Western Europe, what you are seeing there as well?
Mike Gasser: Yeah Jim, we certainly thought that, that question would probably come up because our volumes were good this quarter, one of the things and used to be a very positive folk rise is our diversity. Diversity of customers, geographic diversity as you mentioned we are in, 48 countries today and we are very well positioned in those areas of the world that are actually doing quite well, maybe even booming which would be Southeast Asia, China specifically, Russia, Middle East, South America are all doing quite well. We are place that North America volumes did increase a little bit during this quarter, partly it could be to with the weak dollar because it probably there is a little bit more export and in Europe specifically, Western Europe it did well the volumes were good, not great but good. Eastern Europe the volumes were great and so it is a tale of two cities when you look at Europe it really depends on what area you are at. A part of the process we go through Jim each quarter, part of the great business system is a really detailed review of the performance of our business, recall our quarterly business view to be ours and Dave Fischer then him and I spend Thursday and Friday all day Thursday and Friday last week going over that and we really pressed Ivan Signorelli who runs Europe pretty hard on volumes and customers and his comments to us really were that they have talked to a great number of customers and no customers are really talking about slowing down at this point of time. The only slow down in Europe we will have in his range would be a seasonal slowdown because kind of chemicals business historically does is stronger in the third quarter than the fourth quarter. Now in all fairness that transparency is 30 to 45 days so we get into about mid October as where we can see, but right now things still look pretty strong for where we are at.
Jim Lucas – Janney Montgomery Scott: Okay and from an end market prospective any commentary there and then the final question is just on the commodity the input cost side of what you are seeing there and where you are in terms of your price closing the GAAP.
Mike Gasser: Plants are running they need lubricants. If plants shutdown or slowdown they tend to more maintenance which tends to use more lubricants and the diversity of products that we package in the chemical business really insulates us from any one sector or a group of sectors being down so triumphs had historically been fairly stable, and then the third part of the business the food business really is a growing business and the only stipulation are in the number of drums really used in the field food business is the weather, whether it rains a lot or not now that’s the only relative factor that effects there. As far as raw materials, we have been in a quite a period here and the last year with steel going up as rapidly as it has risen it’s attempted to follow suit. Our sourcing people would tend to think that steel will peak at the end of the fourth quarter fourth calendar quarter this year and moderate after that, but that’s their opinion at this point. I mean that’s what we tend to see right now that it is peeking and could be moderating towards the end of the fourth quarter beginning of this first quarter of next year.
Jim Lucas – Janney Montgomery Scott: And were you stand on the pricing side rate right now, in terms of the gap of price versus commodities?
Mike Gasser: Yes, at the end of the third quarter we were little bit behind in steel and with the subsequent increase in August we were fairly current in the steel. So we have really caught up with the increase in steel prices, resin were little bit behind there but will be catching up there.
Jim Lucas – Janney Montgomery Scott: Okay great, thank you very much.
Operator: Thank you sir, and our next question comes from the line of Christopher Chun with Deutsche Bank, please go ahead sir.
Christopher Chun – Deutsche Bank Securities: Yeah thanks, good morning guys.
Mike Gasser: Good morning Chris.
Christopher Chun – Deutsche Bank Securities: First of all, just following upon that last question regarding raw materials. Can you remind us just in general how it works in terms of what the relationship is between price and cost? What kind of pass though provisions you have whether there are delays in covering higher costs and simply how long those delays are?
Mike Gasser: Yes, generally about 50% of our business is contract Chris and contract business all have a raw material price provision in there for pass through, contracts will vary on what kind of delay is payable from 30 to 90 days, so that will vary by contract by region so anywhere between 30 and 90 days delay on about 50% of business which is contract and they all have raw material price through provisions and the other 50% would be spot and so that would be an automatic one places go up we would automatically change those prices.
Christopher Chun – Deutsche Bank Securities: Right in terms of the spot businesses, are there conditions under which you would be address of not being able to raise prices despite pricing input cost?
Mike Gasser: Of course Chris, and that would be if there competitive situations in today’s world the input cost have been fairly draconian so that has not allow really even competitors to sit back and not raise prices, they have gone up so dramatically that has force everyone really to raise prices just to cover those higher costs.
Christopher Chun – Deutsche Bank Securities: Yes, okay very good. And then why don’t you talk a little bit about the US dollar it seems like after a long period of weakening recently its turn around and started strengthen at least against the Euro and some other currencies. I am wondering how big of a head win you see this as, and then just in terms of your ‘09 targets on having heard that you are still confident about them, but how much strengthening in the US dollar would there have to be to put those targets at risk?
Mike Gasser: As far as the head win for the US dollar as I said in our prepared remarks I do believe that the US economy manufacturing economy has benefited from the weak dollar. Having said that, it’s not a major impact to us, I mean the dollar has definitely has strengthened a little bit but not significantly when you look at historical terms. So it still is weak in historical terms, the dollar, so it’s still a place where exports still can originate from. So we don’t see that as an issue sitting here today. We are still confident in the ‘09 goals. Our diversity, we believe will allow us to reach those goals as we go forward. If the dollar would strengthen considerably against the Euro we would anticipate that the European economy would then become more of an export economy which they have been struggled to do a little bit which would allow that economy to even strengthen a little bit more. So our diversity tends to allow one economy to play off the others to reach the goals that we have set.
Don Huml: And Christopher in terms of our sensitivity to the changes in the value of the Euro as you know our European team has been delivering exceptional results. So clearly there would be an impact just for sensitivity purposes $0.10 change in the value of the Euro would translate to about a $7 to $8 million pre-tax impact. So there is a translation exposure but as long as that we would consider very manageable.
Christopher Chun – Deutsche Bank Securities: Okay and that’s very helpful and then looking beyond ‘09 you talked a little bit about your goals for 2012. I am wondering if you care at this time to talk any more about what those goals might be from a financial prospective and then when we should expect to hear more about that?
Don Huml: Yes, I think its premature Christopher to talk about that. We are spending a lot of time internally going over goals that we want to set, I can lead you with this and they are going to continued to be aggressive as we have set the last in ‘03 and ‘06 we will continue to aggressive, continued to challenge us, but we also hope to continue to deliver on those and as far as the timing on when we are going to share those it will be within the next year but we’ve really have at this side and when would be the appropriate time yet to share those with everyone.
Christopher Chun – Deutsche Bank Securities: Okay, great, thanks for your help.
Operator: Thank you sir, and our next question comes from the line of Chris Manuel with KeyBanc Capital Markets, please go ahead sir.
Chris Manuel – KeyBanc Capital Markets: Good morning gentlemen.
Mike Gasser: Morning Chris.
Chris Manuel – KeyBanc Capital Markets: Couple of questions for you, first, as we look at you had a subsequent announcement out this morning about a new business, that some new business you picked up I think down the Cincinnati area and it would be your first expansion of the Delta petroleum acquisition you done since you completed it. Can you give us a little more color potentially on, we did a little work here, got some information of Cognos looks like their quite large organization, a global organization. Is this in sort of a test, I wouldn’t say test run, but could this open the door to some other opportunity with the same company globally and yet further expand this platform. How do you think about the Delta platform that you required over the next couple of year and the opportunity?
Mike Gasser: Well we continued to be excited about the platform, I’ve said repeatedly Chris that this is a longer sales cycle in Delta, but once we get a sale then there is longer commitment its more difficult to move the business and this is a good example what we are talking about and you’re very correct, yes we did talk about the Delta signing a contract with Cognos today, its for the one plant in Cincinnati, it’s a filling operation, it’s a great opportunity for us to prove our ability to Cognos. We are pretty confident that we are going to be able to do that, we are hopeful that this will lead to other opportunities with them or other companies like them and so this is even though it is irrelatively small in relation to aggrieve size operation that once the Cincinnati plant, we do believe that it does open the gates for other opportunities and we are continued to have conversations with other companies outside the US on potential filling, blending type operations. So this is ongoing and we still remain excited about Dealt and what it can do from a growth stand point for Greif.
Chris Manuel – KeyBanc Capital Markets: I don’t know how you measure it, but when you think about I don’t if its gallons that you blend or if it’s somehow you think of throughput in the business. Can you give us a sense of what that’s been like from the time you were targeted to present, I mean how is that growing what it’s been like over the last quarter or so?
Don Huml: I don’t have those numbers up at the top of my head Chris, but I can give you a generic feel. The filling business is has gone extremely well for us and we have done very, very well in that business. The blending business is it’s been a little bit more challenging for us but we have worked through those challenges, so I would tell you that we have exceeded expectations on the filling which is something that we believe we can replicate what just Cognos opportunities. The blending with the run up in raw materials has been a little bit more challenging, but something we have worked our way through and we are pretty comfortable with now. I don’t have the numbers of what filled and stuff.
Mike Gasser: Chris as you know our focus initially has been on impeding the growth business system, so there has not been as much focus until very recently on our growth, but they are really getting to the point now where they have re-earned the right to grow or earned the right to grow and this is really the first effervesce of that.
Chris Manuel – KeyBanc Capital Markets: Well that’s actually a great lead into the next question I had, and that is the capital of spending. You’ve bumped the number up a little bit, is it more indicative of currency moving up therefore some of the, in other words is there is it more that you are doing new projects or more that currency has made current projects more expensive?
Don Huml: No I would say it really indicates the opportunities that we have particularly in emerging markets, so that unlike a few years ago there is an expansion capital component and that’s really what is driving it a bit higher. We would expect that there is going to be a normalization, so when are going forward basis we think that depreciation is a good proxy for capital spending, but right now we do have a bit of an up check primarily to support our emerging markets for growth strategy.
Chris Manuel – KeyBanc Capital Markets: Okay, couple of other questions that I had were as we think about some of the different regions I know you give us some data geographically and if we strip up the paper piece and we strip up the timber piece from North America we get to sort of IPS North America and we looked at IPS North America versus IPS Europe and IPS other regions. The margins in North American tend to lag a little bit particularly European and I just, so is there anything structurally different in North America or as you look a Greif business system is a way to harvest more savings and become continue to become more efficient, second we look at is where you see the most opportunity going forward?
Mike Gasser: I really think you are seeing business mix, a fact as you know the paper packaging team has had significant head wins with higher waste paper cost energy and transportation and so there has been some margin erosion, so I really that is what is impacting North America also during the quarter we had relatively small contribution from timber. They are on track on a full year basis but activity was light during the Q2 and as you know those are very high margin transactions. When you take away the business mix effect you really see a fairly comparable margin across all of the regions which you would expect given that the great business system is really syndicated across the enterprise.
Don Huml: And this I think this is a good opportunity for me to just to say one thing about the Greif businesses system, since you mentioned it. It continuous to be part of our strategies as we go forward and we continued to be more and more excited about the opportunity that presents itself. As we look at best in class capabilities around the world we were seeing analytically some real opportunities to continue to take additional cost out which hopefully we can put together, plans to tactically implement, so that continuous to excite us for the next three to four years.
Chris Manuel – KeyBanc Capital Markets: Okay, I think that’s all I have for now thank you gentlemen, good luck.
Mike Gasser: Great thanks.
Operator: Thank you sir, (Operator instructions) And our next question comes from the line of Scott Lumonwall [ph] with Emerald Advisories. Please go ahead sir.
Scott Lumonwall – Emerald Advisories: Good morning gentlemen. Congratulations on a great quarter.
Mike Gasser: Hey thank you.
Scott Lumonwall – Emerald Advisories: Mike or Don is Cognos currently a customer?
Mike Gasser: Yes they are a global customer with us we provide them packaging around the world.
Scott Lumonwall – Emerald Advisories: Okay and can you give us some idea of how much investment is going to be needed to get this operation kind of off the ground?
Don Huml: We don’t give that up, but it is minimal it’s not significant.
Scott Lumonwall – Emerald Advisories: Okay and I guess keeping on the growth capital track that Chris was on, could we safely assume that or make an assumption that some of this increase in growth capital is needed for your new Vietnamese acquisition?
Mike Gasser: Not a significant item, I would say that one other significant factor would be some spending related to the integration of Blagdon in Europe. So once again it it’s tied to the three pronged growth strategy, but in addition to the emerging markets Greenfield activity there are some investments that are being made related to the Blagdon integration.
Scott Lumonwall – Emerald Advisories: Okay how long do you think that, that’s going to continue Don. I mean we have had Blagdon for a while now.
Don Huml: Yes and the one thing that we stated at the outset was that, that was going to be more of a three year period for capturing the Synergies related to Blagdon and that we are really right on track.
Scott Lumonwall – Emerald Advisories: Okay, with the (inaudible) on route through the goal for Mexico, can you give us some idea of how if at all Katrina effected Greif a couple of years ago and when she came through and if there was any significant impact on your operation?
Don Huml: We’ve already made contingency plans from the oil file to move outside the area if it hits, contingency plans to move equipment and people. So we have not historically had damages to our facility, with our number of locations being able to manage the business and we like everyone hope that there is not a loss of life or loss of damage because of the storm. We’ve already made contingency plans from the oil file to move outside the area if it hits, contingency plans to move equipment and people. So we have not historically had damages to our facility, with our number of locations being able to manage the business and we like everyone hope that there is not a loss of life or loss of damage because of the storm.
Scott Lumonwall – Emerald Advisories: Yes, thank you. Could you also Mike then talk about, I know that you specifically mentioned your 15 years of operations in Russia and if you have any concern about your Russian businesses due to the current I guess state of affairs between the United States and Russia?
Mike Gasser: Well, being in 48 country there tends to be flare ups every once in a while of differences of opinion on how things should operate. We don’t get in the midst of all that. The Russian business is run very well and the people there who run it are very confident, Drums is not a real big issue to the Russian government, I mean this is just not a big part of what they do and so we able to stay under the radar screen we don’t get it.
Scott Lumonwall – Emerald Advisories: What goes into there might be?
Mike Gasser: Its mostly similar to what goes into the rest of the parts of the world, and so we down see it been something that we overly consider about. We manage Scott investment in companies on a risk profile and so as we put investments in company we have a risk index that the riskier the company, where it’s political risk or it’s a economic risk, a currency risk we risk adjust those and so for us to make an investment they need to hit those hurdles and to-date Russia investment had hit those hurdles that we’ve setup.
Scott Lumonwall – Emerald Advisories: Okay Mike, that’s really helpful. Could you also maybe comment on what we’ve been laid to believe as kind of an Olympic induced slowdown, have you noticed anything at all in your Chinese operation?
Mike Gasser: Not really, August there were rumors that would be slow, our business was okay in August we don’t, we have not seen or we heard that there is any real issues in there yet.
Scott Lumonwall – Emerald Advisories: Okay great. I guess my last one is with regard to the paperboard business there is obviously pricing power which is a result of the supply-demand balance. Can you give us Mike or Don what might be your best estimate as the current supply-demand balance in paperboard. I know that I talked with Don a couple of weeks ago and he mentioned that you were running pretty much flat out in the paperboard business, but is there enough supply in paperboard in North America right now?
Mike Gasser: I mean definitely the supply has been somewhat constrained and that has provided the nice backdrop for the pricing increase initiative. Our mills have really been operating exceptionally well. In July had record productivity at our Rivesville mill for example and so we are very pleased not only with the supply-demand balance but the performance of both of our mills and the backlogs are very healthy. We think we are well positioned, one of the other points that I might make is that waste paper or old corrugated container has been very stable to trending downward and we have also seen until the recent up tick that natural gas is down from the elevated levels in the third quarter so a lot of factors moving in a positive direction.
Scott Lumonwall – Emerald Advisories: Backlogs better this year than we saw this time last year?
Mike Gasser: They are a little bit stronger because some capacity has been taken offline.
Scott Lumonwall – Emerald Advisories: Okay well thank you very much.
Don Huml: Well thank you.
Operator: (Operator instructions) And to our next question comes from the line of Bob Franklin with Prudential Financial. Please go ahead sir.
Bob Franklin – Prudential Financial: Hi I want to make sure I heard something right. Did you say your organic volume growth was greater than 5% or was it greater than 4%?
Don Huml: Greater than 5%.
Bob Franklin – Prudential Financial: Okay and do you have a way of breaking that up by region?
Don Huml: We have talked about it very generally about the strength within the emerging markets and the fact that were in the strong double digits in those regions and in the mid single digits in Europe and the lower single digits in North America. We really have not gotten more granular than that.
Bob Franklin – Prudential Financial: Okay, have you broken out revenues by region, or percentage of revenues or by continent at least.
Don Huml: We do, we do have a break out by geographic region in our press release.
Bob Franklin – Prudential Financial: Okay, then I apologies I’ll take a look at it there.
Don Huml: That’s fine, the one thing that you will note is the strength in other sales up year-over-year about 36% and that basically is the emerging markets, Asia Pacific region, Latin America and so really.
Bob Franklin – Prudential Financial: Yes, that’s right I’m looking at it and that’s what struck me and you don’t break out Western versus Eastern Europe.
Don Huml: No
Bob Franklin – Prudential Financial: On the questions that came up about currency, I was on the impression that you didn’t export much, because you went up exporting the bunch of air with your products, am I looking at that right?
Mike Gasser: We don’t shift empty drums, but our customers are experts. So we sell drums and then they export their products, so it’s our drums being.
Bob Franklin – Prudential Financial: Okay got it, well it’s a secondary affect. Okay and one last thing, if I just refresh my memory do you guys most of your cash flow with in the fiscal fourth quarter?
Don Huml: That’s correct, there is a bit of seasonality and as we increased the food and agriculture activities that will be increased, but just based on harvesting time and the collection of the related receivable you do see very strong cash flows in the fourth quarter.
Bob Franklin – Prudential Financial: Okay great, thank you.
Operator: Thank you sir and I show no further questions in the queue at this time, I would now like to turn the call back over to management.
Deborah Strohmaier: Thank you Davis, and thank you all again for joining us this morning, as a reminder this call will be available for replace from noon today and ending in 11:59 p.m. Eastern Time on Tuesday September 2. The playback telephone numbers are 800-405-2236 for domestic callers and +1-303-590-3000 for international callers. The pass code is 11118278#, that’s 11118278#. A digital replay of the conference call will also be available in approximately one hour on the company’s website at www.greif.com. We appreciate you joining us this morning.
Operator: Ladies and gentlemen this concludes the Greif Inc’s third quarter 2008 results conference call, you may now disconnect. Thank you for using ACT conference call.